Operator: Thank you, ladies and gentlemen, and welcome to China Pharma Holdings Incorporated Full Year 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. Presentation should be followed by question-and-answer session. I must advise you that this conference is being recorded today, Friday, the 29th of March, 2019. Now I would like to hand the conference over to your first speaker for today, Ms. Diana Huang. Thank you. Please go ahead, ma’am.
Diana Huang: Thank you, operator. Good morning, ladies and gentlemen, and good evening to those of you joining us from China. Welcome to China Pharma Holdings’ fiscal year 2018 earnings conference call. I'm Diana Huang, the Company's Investor Relations Manager. Speaking on the call today are China Pharma's President and Chief Executive Officer and Interim CFO, Ms. Zhilin Li; and Corporate Vice President, Mr. Sam Hsing. In addition, I will provide translation during the Q&A session of the call. The Company’s earnings press release issued earlier this morning is available on our website at www.chinapharmaholdings.com. I would like to remind our listeners that on this call, management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore, the Company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to risks such as market and customer acceptance and demand for our products. Our ability to market our products, the impact of competitive products and pricing, the ability to develop and launch new products on a timely basis, the regulatory environment including government regulation in the PRC, our ability to obtain the requisite regulatory approvals to commercialize our products, fluctuations in operating results including spending for R&D, and sales and marketing activities, and other risks detailed from time-to-time in our filings with the SEC. In addition, any projections as to the Company's future performance represent management's estimates as of today, March 29, 2019. China Pharma assumes no obligation to update those projections in the future as market conditions change. Now, it is my pleasure to turn the call over to China Pharma's CEO and Interim CFO, Ms. Li to make her opening remarks in Chinese, which will be translated by Sam. Afterwards, Sam will continue translating Ms. Li’s detailed discussion of the Company's fiscal year 2018 financial results.
Zhilin Li: [Foreign Language]
Sam Hsing: Thank you, Diana, and good morning, everyone. I’d like to thank each of you for joining us today and for your continued support of China Pharma. We experienced certain market of fluctuations in 2018, but through the continued implementation of sales promotions, our sales revenue of 2018 was comparable to the same period a year ago. Management will continue to vigorously promote sales through active participation in recent provincial market openings to solicit new drug tender offers and allow China Pharma to expand its presence in these markets. In addition, we continued experiencing sustained pressure from the more stringent requirements of drug registration standards, consistency evaluations, and the rising costs of the clinical trials in 2018. In this challenging environment, the Company actively evaluated the technical difficulty, investment demand, time requirements, and investment return rate of all applicable marketed and pipeline products, and actively advanced the compliance process for several key products in 2018. I will now read the rest of Ms. Li’s prepared remarks in English. Now, I would like to review our fiscal year 2018 financial results and balance sheet information. Revenue decreased by 6.7% to $12.3 million for the year ended December 31, 2018, as compared to $13.2 million for the year ended December 31, 2017. This decrease was mainly due to the negative impact associated with health insurance cost controls as well as government policies targeted at reducing drug costs as a proportion of total healthcare spending, in conjunction with the Company's efforts in controlling bad debt by more rigorous screening customers and more stringent policies on payment terms. Gross profit for the year ended December 31, 2018 was $2 million, compared to $2.5 million in 2017. Our gross profit margin in 2018 was 16% compared to 18.7% in 2017. This decline in our gross profit margin was mainly due to the decrease in our sales, and our fixed manufacturing overhead. Our selling expenses for the year ended December 31, 2018 were $3.2 million, a decrease of $0.2 million compared to $3.5 million for the year ended December 31, 2017. Selling expenses accounted for 26.1% of total revenue in 2018 compared to 26.2% in 2017. Our general and administrative expenses for the year ended December 31, 2018 were $1.9 million, which was close to $2 million in 2017. General and administrative expenses accounted for 15.8% and 15.3% of our total revenues in 2018 and 2017, respectively. Our bad debt expenses for the year ended December 31, 2018 was $0.6 million, which represented a decrease of $0.8 million compared to $1.4 million in 2017. The decrease in our bad debt expenses was mainly due to the change in the composition of aging of accounts receivables for the year ended December 31, 2018 compared to December 31, 2017, which came in line with the Company's more stringent scrutiny upon customers' payment history. Impairment of intangible assets for the year ended December 31, 2018 was $6.5 million, compared to $14.2 million in 2017. As a pharmaceutical company, we have been focusing on the development and maintenance of our intangible assets, mainly in the form of medical formulas. Because of recently implemented government policies such as consistency evaluations, our management made certain assessments regarding the impairment of our intangible assets as of December 31, 2018 and December 31, 2017 respectively, and identified two formulas and six formulas in 2018 and 2017, respectively, that would likely be unable to generate positive cash flow in the foreseeable future and therefore recognized impairment loss on them accordingly. Net loss for year ended December 31, 2018 was $10.8 million, or negative $0.25 each basic and diluted share, compared to net loss of $19.3 million, or negative $0.44 each basic and diluted share, for the year ended December 31, 2017. The decrease in net loss was mainly a result of the decrease in impairment of long-term assets. Turning to balance sheet. As of December 31, 2018, the Company had cash and cash equivalents of $1.2 million compared to $2 million as of December 31, 2017. Working capital decreased to negative $1.3 million as of December 31, 2018 from $3.1 million as of December 31, 2017. As of December 31, 2018, our net accounts receivable was $0.9 million, compared to $2.3 million as of December 31, 2017. For the year ended December 31, 2018, cash flow from operating activities was $1.3 million, as compared to $0.8 million in 2017. Overall, we will continue focusing on our business development and promote ourselves and believe that this will support the fair evaluation of our shareholders’ interest in the future. With that, we will now open the call up for questions. Operator?
Operator:
Sam Hsing: On behalf of the entire China Pharma team, we would like to thank you for your interest in the Company and the participation on this call. For any of you travelling to China, we always welcome and encourage any visitors from our shareholders, potential investors, and analysts. This concludes China Pharma’s fiscal year 2018 earnings call.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference for today. Thank you for participating. You may all disconnect.